Operator: Welcome to Tremor International's Fourth Quarter and Year Ended 2021 Conference Call. [Operator Instructions] This conference call is being recorded and a replay of today's call will be made available on the Investor Relations section of Tremor's website and will remain posted there for the next 30 days. I will now turn the call over to Billy Eckert, Senior Director of Investor Relations, for introductions and the reading of the safe harbor statement. Please go ahead.
Billy Eckert: Thank you, operator. Good morning, everyone. And welcome to Tremor International's fourth quarter and full year ended December 31, 2021, earnings call. With us on today's call are Ofer Druker, Tremor's Chief Executive Officer; and Sagi Niri, the Company's Chief Financial Officer. This morning we issued a press release, which you can access on our website at investors.tremorinternational.com. During today's conference call, we will make forward-looking statements. All statements other than statements of historical fact could be deemed as forward-looking. We advise caution and reliance on forward-looking statements. These statements include, without limitation, projections about our future financial results and future business, and statements concerning the expected development performance in market share or competitive performance relating to products or services. All forward-looking statements are based on information available to us as of the date of this call. These statements involve known and unknown risks, uncertainties and other factors that may cause our actual results to differ materially from those implied by these forward-looking statements, including unexpected changes in our business. More detailed information about these risk factors and additional risk factors are set forth in our filings with the U.S. Securities and Exchange Commission, including, but not limited to, those risks and uncertainties listed in the section entitled Risk Factors in our registration statement on Form F1. Tremor does not intend to update or alter its forward-looking statements whether as a result of new information, future events or otherwise, except as required by law. Additionally, the company's press release and management statements during this conference call will include discussions of certain measures and financial information in IFRS and non-IFRS terms. We refer you to the company's press release for additional details including definitions of non-IFRS items and reconciliation of IFRS to non-IFRS results. At this time, it is my pleasure to introduce Ofer Druker, Chief Executive Officer of Tremor International. Ofer, please go ahead.
Ofer Druker: Thank you, Billy. And welcome to everyone joining us today. Let me start off by saying that I'm extremely pleased with our results for both the fourth quarter and full year. 2021 represented the strongest year of growth and profitability in the company's history. During the fourth quarter and full year, we continue to validate our strategy of being an end-to-end tech and business platform with a focus on CTV video and data, and continue to experience strong market adoption of our products. We remain encouraged by the results we are generating. We believe that our strong balance sheet profitability and cash flow will enable us to maintain continued growth both organically and through potential M&A, while adding value for our shareholders through the $75 million share buyback we announced today. I will begin by giving an overview of our results and strategy followed by our Chief Financial Officer, Sagi Niri, who will give you the highlights of our Q4 and full year 2021 financials. We will then open the call up for questions. For the 3 months ended December 31, 2021, we generated contribution aspects of $88.6 million compared to $74 million in Q4 2020, representing 20% organic growth and adjusted EBITDA of $54 million compared to $39.1 million in Q4, which reflect 1.4x growth. These results were highlighted by continued growth in advertising spend on CTV, which increased 47% during Q4 2021, compared to Q4 2020, and greater adoption of our self-service and various tech-enabled programmatic offering. The greater adoption of this technology solution supported our ability to generate strong profitability. The efficiency of our platform, our end-to-end strategy and the growth we achieved in this segment drove a 53% adjusted EBITDA margin in Q4 2021 on a reported revenue basis and a 61% margin on a net revenue basis. We believe this margin represents the best-in-class for our industry. For the 12 months ended December 31, 2021, we generated contribution ex-TAC of $302 million compared to $184.3 million during the full year 2020, reflecting organic growth of 64% and adjusted EBITDA of $161.2 million compared to $60.5 million during the same period last year, reflecting 2.7x growth. These record results reflected the best year in Tremor history and serve as an indicator that customers prefer our offering, which provides simplicity and enhanced data through our differentiated end-to-end technology and business platform. Full year growth for Tremor in 2021 was also driven by increased CTV spend across our platform, which increased 108% compared to 2020. While we also continue to see the necessity of our managed service offering, we are currently seeing and expect to continue observing core growth driven primarily by our self-service solutions and programmatic offering. We believe the key to our continued growth and success in our differentiated end-to-end technology and business platform, which is comprised of a demand-side platform, data management platform, supply side platform and most recently, a CTV, et cetera. Our strong focus on product development and every acquisition we have successfully integrated over the last few years has driven us towards creating the platform we have today, with the ability to service a wide variety of customers across all screens. We believe end-to-end is the most efficient model in the industry as customers desire simplicity, better data to enhance their returns and targeting efforts and to move towards supply path optimization. Because we maintain the relationships with both advertisers and publishers, we are able to connect with them directly in the most efficient way while providing better installation against future privacy changes. Customers leveraging us for their end-to-end buying needs also enjoy strong pricing advantages because we consolidate all transaction fee within one ecosystem to maximize advertiser budget going to the publishers. Our end-to-end model also helped enable us to generate strong 2021 customer net retention rate of 150.3%. We believe these strong retention rates offer evidence that our model is working well and fulfilling our customer holistic needs. Furthermore, we believe this model is better for Tremor and its shareholders as it enables maximum revenue opportunities and profitability due to the cost efficiencies we achieved from splitting costs across both sides of our platform, while owning our global server infrastructure. CTV and video remained a key growth driver for Tremor as we saw 27% and 80% of our contribution ex-TAC respectively, generated in this segment as of the end of 2021 as revenues grew 118% and 69%, respectively, during the year. According to e-marketers, U.S. advertising spend on CTV is projected to grow at approximately 24% CAGR through 2025, while U.S. has spent on video and CTV combined is projected to grow at a roughly 17% CAGR through 2025. We believe our footprint in these fast-growing segments should result in strong continued growth for Tremor. We have also taken steps to enhance and differentiate our offering within CTV as evidenced by the recent acquisition of Spearad, our exclusive global ACR data partnership with VIDAA, the launch of problematic TV marketplace and the launch of our content level targeting solution. Tremor is also well positioned for challenges within the industry due to its robust data footprint, end-to-end technology and business platform and focus on CTV. Privacy changes has been a significant team in our industry, particularly around IDFA changes and cookie depreciation. In addition, last week Google announced a multiyear initiative to build the privacy sandbox on Android, which will limit sharing of using user data with third parties and operate without cross-app identifiers. Tremor is well positioned to address all of these changes due to our end-to-end operating model as our DSP and SSP share the same audience to us, which eliminates data loss when thinking platforms. Our exposure to cookies from a revenue standpoint is also relatively low, which allows Tremor and its customers to remain well positioned for privacy changes compared to other industry peers with higher level of third-party cookie exposure. We are confident that this combination of factors ensure we remain able to meet our customers' needs. Regarding challenges associated with supply chain constraints and inflation, we saw evidence of lower advertising spend during Q4 2021, which have continued to disappoint in Q1 2022, in certain sectors such as automotive, due to acute shortages. However, these issues have been offset by increased demand in other segments such as CPG. Our highly diversified customer base across our end-to-end platform has helped offset any significant adverse impact to our business. We received a lot during Q4 2021 that help us to strengthen our offering within CTV. In October 2021, we strengthened our CTV and data capability through a unique and meaningful partnership with VIDAA, a subsidiary of HiSense, which provides us exclusive global access to ACR data starting later this year. The partnership is expected to accelerate our U.S. and international growth, and we anticipate this growth will mainly start in the second half of 2022 in key markets such as Canada, Australia, the U.K. and Germany. This powerful data partnership, which we will utilize for targeting purposes, provide access to VIDAA's distribution. We believe VIDAA quality reaches approximately 20 million smart TVs worldwide, and we expect this reach to grow to more than 40 million TVs in the coming years. VIDAA is the operating system for major OEMs that include Hisense, Toshiba and others. This partnership makes Tremor the only end-to-end technology platform with this type of exclusive data outside of the world gardens. VIDAA has also proven that its relationship with Tremor extends deeper than data. In January, VIDAA selected Unruly as its strategic SSP to enable global access to all its video and native display media while also integrating our newly acquired CTV and server experience to enable better control over the CTV and delivery with granular ad pod controls and targeting. In October 2021, we acquired Spearad, which provides Tremor with a global CTV as server and other bidder, featuring a robust user interface with advanced tools for ad and pod monetization. We anticipate that the addition of the Spearad technology will allow us to capture a large segment of global CTV inventory through both current and future media partners while providing added benefits to help those partners better control their inventory and maximize revenue opportunities. Like the VIDAA partnership, we anticipate the addition of Spearad will open greater opportunities internationally, and we have already seen adoption of the technology by parties such as VIDAA. We forecast that the main contribution from this acquisition will start during the second half of 2022. In October, we increased our investment in CTV by announcing the launch of our programmatic TV marketplace, which is centralized platform for planning TV campaigns. The launch enable advertisers to gain access to a diversified marketplace that feature premium TV-centric supply and curated PMP packages. Advertisers also gained the ability to leverage an efficient planning process to help improve and streamline costs, inventory and reach while gaining greater transparency into what inventory is included in each package. In December, we introduced in our SSP Unruly, a content level targeting solution, which provides a new contextual solution for buyers and mid-growing privacy regulation. Content level targeting allow buyers to tap into traditional linear TV buying tactics with granular targeting options like January ratings and show tighter within digital CTV and over-the-top environment. We believe this solution successfully positions Tremor and its customers for future changes in price. 2021 was an amazing year for Tremor from a business win perspective, and I will go over the major wins and highlights from both the fourth quarter and full year. As we mentioned, in the fourth quarter, we significantly enhanced our offering and innovation within CTV through our partnership with VIDAA, the acquisition of Spearad and the launches of programmatic TV marketplace and content level targeted. Our SSP Unruly significantly increased its reach and added 42 new U.S. supply partners during Q4 2021 across critical growth verticals in both entertainment and lifestyle as well as OEM and multicast video on-demand businesses. This come after annually added 35 new U.S. supply partners during Q3 2021. Our Unruly control offering has received amazing feedback from premium partners in the CTV arena. During Q4 2021 PMP revenue from this self-service platform for publishers saw an increase of 184% compared to Q3 2021. Tr.ly, our in-house creative studio was heavily involved in many deals we promoted with customers and empowered campaigns while enhancing engagement in a meaningful manner. During 2021, creative requests to Tr.ly increased 74%. Tr.ly generated about 21,000 unique video creative and created stickier relationship and spending trends with our customers. Tr.ly is a differentiator for us as not many DSPs or SSPs have a creative studio in-house. This power out drives higher levels of campaign spend to our platform. For example, new and existing clients who hadn't yet booked a campaign in 2021, spent an average of 301% more on their first campaign will leverage Tr.ly creative solution. Our data-driven creative studio has experienced strong and growing adoption and combines 2 of our greatest advantages: our robust data footprint and our ability to provide all-screen creative solution to better support our advertisers' needs in connecting with consumers. Last year, we also recognized that large video advertisers who are looking for complementary omnichannel solution to their video campaign, which drove us to launch the ability to run display and audio campaigns in our DSP. Additionally, we launched our TV intelligence solution, enabling in-house severely targeting and measurement solution that provide advertisers the ability to reach and engage TV viewing audiences at scale with data-driven video creative. This solution received a further boost with our VIDAA data partnership, the launch of programmatic TV marketplace and the launch of our content level targeting solution, which also enhanced targeting capabilities for customers. Finally, we successfully executed a dual listing on the NASDAQ in June, we generated $134.6 million in cash proceeds, net of issuance costs and enable strong exposure to U.S. market, greater access to capital and increased access to broader investor base. Today, we are also very pleased to announce a $75 million share buyback program, which allow us to retain significant value to shareholders and take advantage of the opportunity amidst macro pressure that many companies within adtech has been under recently. We increased our cash balance by $270.3 million to $367.7 million as of the end of 2021. Our strong balance sheet and cash-generating business enable us to implement this pilot, while we also continue to evaluate opportunities to acquire companies and continue to invest in technology, sales and marketing. Finally, since our last earnings call, we have delivered on our promise to engage more proactively with the U.S. and international investment communities. In November, we presented a Q3 update for U.K. investors and participated in RBC Global tech conferences. In December, we participated in Raymond James' Tech Conference. And in January, we participated in Needham's Annual Growth Conference. We also conducted a significant number of institutional investors meetings and participate in NDR with numerous banking and IR partner. Finally, we recently launched our inaugural quarterly IR newsletter, which we intend to update each quarter to make investors more aware of main developments and trends. Please subscribe on the Investors Relations tab on our website. It is now my pleasure to turn the call over to Sagi to review our financial results.
Sagi Niri: Thank you, Ofer. We were excited to see another record quarter of revenue, profitability and strong business momentum, closing out a fantastic 2021 and moving into the first quarter of 2022. Today, I will review highlights of our Q4 and full year 2021 performance as well as some of the key financial and operational drivers for the quarter and year. Tremor International achieved an outstanding record quarter in Q4 with revenue and adjusted EBITDA propelled by continued organic revenue growth. Q4 2021 net revenue increased 20% to $88.6 million compared to $74 million in Q4 2020, all of which was driven from strong organic growth. This growth was particularly impressive when considering the higher levels of political spend from the U.S. election cycle across asset during Q4 2020. CTV spend on our platform grew 47% in Q4 2021 versus Q4 2020, and we are well positioned to continue this growth as more business is increasingly being transacted through programmatic platforms. We also continue to generate very strong adjusted EBITDA and margin while investing in the critical areas of our business that can drive future growth. For Q4 2021, we generated adjusted EBITDA of $54 million, which reflected 38% growth from Q4 2020 and adjusted EBITDA margin of 53% out of reported revenue and 61% out of net revenue. For the 12 months ended December 31, 2021, net revenue increased an impressive 64% to $302 million compared to $184.3 million in the full year 2020 period, all of which was driven through strong organic growth. We focused on being highly competitive in the CTV and video space as a result of the enhancements we made to our offering during the pandemic, CTV spend on our platform grew 108% in 2021 versus 2020, while our video net revenues grew 69% from $143.4 million during 2020 to $242.6 million during 2021. We continue to generate very strong adjusted EBITDA while investing in the critical areas of our business that can drive our future growth. Costs were lower than expected, driven by a postponement of our return to office, lower marketing spend, and reduced travel and entertainment costs. During 2021, we generated full year adjusted EBITDA of $161.2 million, which reflected 166% growth from 2020 and finished the full year with adjusted EBITDA margin of 53% as a percentage of contribution ex-TAC. The significant growth and profitability we achieved during 2021 was driven by our data-driven end-to-end technology and business platform with a focus on the key growth segments in the market, CTV, video and data usage. Our growth exceeded market expectations and proved once again that our strategy is working, and our products and services adoption is accelerating. We believe we have a competitive advantage with our end-to-end platform versus point solutions. We have developed a highly profitable business model with high efficiency around operating costs, leading to operating leverage and economies of scale. Tremor is able to achieve significant profitability due to our ability to split costs across both sides of our end-to-end platform while maximizing revenue opportunities. We also achieved cost efficiencies as we own and operate our global server infrastructure, which results in significantly lower cost than we were to operate exclusively on third-party cloud services. As we mentioned previously, we believe we have best-in-class industry margin and operational profitability. And for Q4 and full year 2021 generated adjusted EBITDA margin of 61% and 53% out of net revenues, respectively. Turning to our cash flow. We generated net cash from operating activities of $48.7 million for Q4 2021 versus $23.5 million in Q4 2020, an increase of 107%. For the 12 months ended December 31, 2021, we generated net cash from operating activities of $170.1 million versus $35.2 million in the 12 months ended December 31, 2020, which represent a 384% increase. As of December 31, we had $367.7 million cash and cash equivalents with no debt. We also experienced 98% free cash flow conversion during the quarter and for the full year 2021. Non-IFRS diluted earnings per ordinary share is $0.27 for Q4 2021 versus $0.20 in Q4 2020, an increase of 35%, and $0.83 for the 12 months ended December 31, 2021, versus $0.28 for the 12 months ended December 31, 2020, which represents a 201% increase. As we look ahead, in order to continue achieving strong organic growth in the business and monetize our new partnership and acquisition, we intend to increase our investment in product and R&D as well as sales and marketing. Finally, I'll now turn to our outlook. As a reminder, we expect that return to office, marketing and travel costs will add approximately an incremental $1 million per quarter in operating expenses this year. For the first quarter of 2022, we expect net revenue to be at least $73 million and Q1 2022 adjusted EBITDA to be at least $33 million. This guidance underscores that our efficient end-to-end model focused on CTV is helping us achieve excellent growth and profitability. We believe that our growth profile and efficient end-to-end model, which enabled strong profitability, investments for growth and a healthy balance sheet, position Tremor to continue taking advantage of a rapidly growing digital advertising and CTV market, both in the U.S. and internationally. With my remarks completed, I'll turn the call back to Ofer.
Ofer Druker: Thank you, Sagi. To summarize, Tremor had a very strong finish to 2021 in what was a transformational year for the business as we achieved strong organic growth without contribution from acquisitions. We believe our data-driven end-to-end technology and business platform focused on CTV and video reflects the preferred model that our customers desire through the simplicity, installation from privacy changes, supportiveness of industry trends and ability to maximize returns. The 64% contribution to expect growth and customer adoption we achieved during 2021 and the fact that we are seeing other in the industry attempt to replicate this structure only enhance our confidence that the model is working. This model also benefits shareholders as it enables significant profitability and cash generation, which allow us to expand our investment in technology, sales and marketing to grow the business organically while evaluating future M&A opportunities. We also look forward to returning value to shareholders through a $75 million buyback we just announced. Tremor also continued to fulfill its promise to enhance and expand its CTV, data and video capabilities, which now accounts for 80% of our net revenues and 91% of our programmatic net revenues. Our exclusive global ACR data partnership with VIDAA will enable targeting within highly desirable data sets and accelerate our international growth around CTV as we look to monetize the unique and a meaningful partnership in the second half of 2022. We are also extremely pleased to have VIDAA select Unruly as a strategic SSP and integrated Spearad, which positions Tremor well for future U.S. and international growth with an aggressively growing partner for years to come. Our recently acquired CTV Ad server and Header/Bidder Spearad allow us to capture a greater portion of CTV inventory globally with current and future media partners. The launch of programmatic TV marketplace and content levels targeting furthers our innovation and differentiation within CTV, while providing better insulation against privacy changes. Finally, we look forward to continue to engage with both U.S. and international investors through continued participation in conferences, tech demos and NDR with firms that cover Tremor. We believe we have a compelling value proposition for investors and remain excited for additional future opportunities to tell our story. Operator, we will now open the call to investors' questions.
Operator: And we will get to our questions and answers in just one moment. And our first question is from Matt Swanson of RBC Capital.
Matt John: All right. Congratulations on a strong finish in what's been kind of a challenging environment here. Ofer, I think you did a great job of explaining kind of the lack of risk from some of the signal loss, but kind of flipping that, based on all the new offerings you have, whether it be the programmatic TV marketplace, content level targeting, the creative suite and obviously, both your data sets coming from VIDAA and then the data you get from a full stack. What do you think the potential is for single loss to actually be a catalyst for the company and to be something that becomes more about market share gains than risk, especially kind of in the wake of STL.
Ofer Druker: Matt, it's a great question and a great point to discuss. I think that what we understand, what we see now in the marketplace is that everybody is preparing, of course, for this loss of signals in the market. I think that Tremor in general is better suited to deal with it because of our basically every line on CTV and growing on CTV and mobile and less on cookie supported the businesses. That's one. The second thing is the end-to-end solution that we spoke about and the data that we are able to gather from partnerships that we do. So I think that it can become like a potential advantage in the future. But right now, and I hope that all the other companies and all our peers are, of course, preparing themselves also for the situation. But I think as we mentioned also in the notice that we are well situated in this situation in order to tackle it in the coming years when all this regulation and changes in security come into effect. And I think that when people are now viewing and looking for partners for the long term, they can rely basically on Tremor to be that partner for the long run.
Matt John: Yes. No, absolutely. And then, Sagi, kind of thinking through guidance, it was helpful to get the context around the supply chain and the inflation concerns in Q1. But then we also have VIDAA coming on in the second half as well as expectations for a return of a lot of political spend. Can you give us some context on how that might kind of work out in terms of full year seasonality? Does this feel like maybe more of a back half-loaded year?
Sagi Niri: Yes. Matt, thanks for the question. I think, again, as we said previously, we don't have like a real concentration on any vertical supply chain issues, of course, affecting the flow globally. I think that we are well positioned in order to increase some other verticals that are not affected from that issue. And we did it in the past and during 2021 and probably we'll do it in 2022. Regarding VIDAA I think, again, as Ofer mentioned, it kicks in 1st of May. It will give us a lot of exclusive ACR data, which we can execute for the first time outside of the U.S. internationally. So we are very excited in doing that and take our international activity much further and scale it up in 2022. And again, we are waiting for that as well as our clients and publishers and partners, and it will happen.
Ofer Druker: One more thing to add to Sagi is Spearad that we acquired in last October that is in the first quarter now is being integrated into Unruly, and we believe that will make its major effect starting from the second half of this year because we know these cycles of integrating Ad servers and Header/Bidders are taking longer time than a usual business. So we believe that it will start affecting the business mostly in the second half of the year going forward.
Operator: Our next question is from Laura Martin of Needham.
Laura Martin: Great numbers. You guys should be really proud of it. Congratulations. I have a couple. So 38% of your net revenue came from third-party DSPs is my recollection. And I'm really interested in the Trade Desk announced Open Pass and whether that has a positive or negative impact on tremor as the largest DSP tries to squeeze out some of the supply path optimization. Can you comment on that?
Ofer Druker: Sure. Thank you, Laura. Yes, I think that the Trade Desk move will create a few things in the marketplace from what I understood until now. One of them is that publishers are basically -- publishers will basically will have to -- sorry, I will rephrase it -- I will rephrase my question -- my answer. I think that when you look at that, publishers already got more than one way to connect to a bidder to sell their traffic. And basically, they will make the effort and open more channels to work with an SSP if they have an advantage of doing that. Unruly and Tremor, in this case, got a lot of inputs to bring and a lot of value to bring to publishers, like additional data, unique and exclusive demand that we bring from our other DSP when we sell it and from self-serves and from PMPs and so on. So I believe that in this case, when publishers that are working with us -- and they will switch to other platform and other systems in order to connect to us in order to get our demand, the Trade Desk. And I think that we have no issue with that because we really bring value. In cases that an SSP doesn't bring value to these publishers. I think that the publishers will basically will not be able to -- they will not connect with this SSP anymore. So basically, I think that this move -- the Trade Desk is basically reinforcing and accelerating of the supply path optimization. But as a company, there's so much advantages to work with working with publishers that we deliver them so much advantages. I don't think that we have any issues connected to them. And we already know that we can connect to pre-bid and other means in order to run campaigns on that even through the Trade Desk -- for the Trade Desk. So for us, it's a no-issue or even in some cases because the number of SSPs that we work with the Trade Desk will lower, it will give us some advantage.
Sagi Niri: And I think that will -- we are very happy from the announcement of the Trade Desk because it's validating our end-to-end solution. We are happy that we're seeing the advantages in that as well.
Ofer Druker: Yes.
Laura Martin: Super helpful really. And then my second and then my last question will be about -- I'm really excited about the bottom of funnel advertising opportunities for CTV. And so that naturally takes you to the e-commerce convergence with CTV. I'm interested in your thoughts there. One of your competitors said that not to have an e-commerce strategy in 2022 is like not having a mobile strategy 10 years ago. Okay, that's hyperbole. But my question is, when you think about CTV over the next year or 2, do you agree with him that e-commerce and bottom of funnel is going to be a good growth driver for CTV ad revenue?
Ofer Druker: Thank you, Laura, for that. I just want to remind you that in our previous conversation, we spoke about it. And I mentioned that I think that the big volumes of CTV media will be fulfilled also by performance-related campaigns, which while doing that, we may, of course, lower funnel and e-commerce is a very big part of that, but there are also -- you can sell products or services through performance. So for sure, we do that it's -- we should think that this will be a very major player. And I agree with the statement that you just said that if you are not building a lower funnel or a e-commerce strategy around CTV, probably you are missing something very big, and we agreed to that. And we believe that CTV will open also to performance advertising and performance video because it's happened in other verticals, if you remember that we spoke about in the past, and I think that it will happen also in CTV. So we are -- we know that and we are getting ready for that. And this is something that is on our plate for long time.
Operator: Our next question is from Mark Kelley of Stifel.
Mark Kelley: Great. I appreciate you taking my questions. I had 2 quick ones. First one is on the increase in R&D for this year. I guess, is there a component of that, that's kind of onetime in nature to get ready for this upcoming VIDAA partnership? That's the first one. And the second one is, can you remind us what political was in Q4 of last year, just to give us a better sense of the growth ex-political?
Ofer Druker: I will start by saying that we are putting a lot of emphasize in the last 3 years on technology and innovation, mainly in CTV. And you can see also when we spoke about all the things that we've done in the past year, and we spoke about TV marketplace. We spoke about content-based targeting, and we are talking about, of course, Spearad and the integration of Spearad into our technology in tech spec with integration basically, not just connection. And when we are talking about the VIDAA of course, to build it and to integrate it into our ecosystem, all of that, of course, is innovation and things that enhance our capabilities around CTV. And we are proud of that. And I think that in this ecosystem that we are living now, we need to invest in technology and innovation around mostly around CTV because this is a major part of our future and a very big revenue source already of today where it had been for us - it's a 25% already of our business. So I think that we will keep innovative -- innovating and building tools around CTV, and we can talk about -- Sagi can talk about onetime and about political now.
Sagi Niri: Yes. So again, to add to what Ofer said, I don't think it's a onetime like increase in R&D and product, which we are doing all the time, and we are doing it also in marketing and sales. It's an increased investment in those fields, as Ofer said, because we are a technology company, and we need more and more components in order to scale our business up. And by the way, it's not related to VIDAA. We've done it before and probably we'll do it more in the future. And VIDAA as well is investing a lot on their side to develop some tools in order to help them and us to facilitate their ACR data and their inventory. Regarding political spend, I don't have the exact number or the absolute number we did in Q4 and a little bit in Q3 2020. It wasn't like very material, but we did -- to some extent, we did a couple of millions of dollars on that as well.
Operator: Our next question is from Andrew Boone of JMP Securities.
Andrew Boone: Two, please. The deck talks about a 74% increase in creative requests in 2021. Can you talk about the drivers just behind the greater use of creative? And then just -- I know you mentioned the competitive differentiation in your prepared remarks. But can you just talk a little bit more about that, whether that's truly an on-ramp for new customers, whether it just drives more spend? Like how should we think about that?
Ofer Druker: On the creative, we're…
Sagi Niri: Yes.
Ofer Druker: So I think that the pandemic in general created a situation that creative is getting much more stage in this business because people want to control better the -- how they engage with our customers because there is a lot of sensitivity and a lot of things that happen not just the pandemic, but also in the world in the last 2 years, a lot of social unrest that was related to in the U.S. and in other places as we see today. So people want to control the way they engage with their clients and potential customers. So I think that what happened in the last 2 years is something that is like transformational in many ways because advertisers and clients are looking to -- are looking to get like better creative response and better options in order to run their campaign. So I feel that I was asking in the past, and I think that when I'm thinking about it again and again, I think that this is something that we stay from this pandemic, meaning that people will like to control more of their messaging. Targeting is part of that, and we're already doing a lot around data, and we are signing a lot of unique and exclusive data partnership in order to enhance this targeting capability. But on top of that, you can see a lot of importance now around the messaging and in order to create more efficient creative. So we saw a very big trend in the last 2 years and mostly in 2021 that people are using these solutions that we provide. And we are unique in that because we don't know a lot about a lot of other SSPs or DSPs that are using or providing this capability to their clients, and we are doing that as part of the package when we are offering to the clients and the customers to run with us.
Andrew Boone: That makes a lot of sense. And then for my second question, I wanted to touch on the contextual tools that you're talking about. Are you seeing more demand for this for advertisers as there are greater privacy announcements? Like where are we in terms of the adoption curve for contextual tools more broadly across digital advertising?
Ofer Druker: Thank you. Yes, we saw that when we announced the solution, we got a lot of people that approached us and asked for more information and to get to know more about the product because they want to test it and use it. And I think that it shows that people are taking into account that there will be changes around privacy, and they need to adapt and to learn about more tools that they are capable of using in order to run basically in the marketplace also after this changes with the call. So we already engaged with a lot of clients and customers around that. And I think that it will just enhance because we just saw now -- we also had this sandbox issue in Android, which is, of course, creating more, let's say, requests from people to find solutions for targeting so and so. I feel that it's the right solution in the right time. And together with other advantages that we got and we spoke with Matt before about end-to-end solution and the fact that we are mostly running on CTV and mobile and we are using audience graphs, which are shared by the DSP and SSP and so on. We are providing them like peace of mind that we are here to stay and we can provide them solutions also in the future.
Operator: Our next question is from Andrew Marok of Raymond James.
Andrew Marok: You've talked in the past about your focus on programmatic revenue versus non-programmatic. Over the last couple of quarters, we've seen the non-programmatic accelerate while programmatic came in at about 11% this quarter. What are some of the moving pieces that went into the dynamic in 4Q? And how should we be thinking about the growth in respective lines into 2022?
Sagi Niri: So again, I think as we said in the past, performance is where we grew and it's our -- we are proud of that. Having said that, we are not investing a lot in that activity. It's like activity that we did a lot in the past, and we are calling it like a legacy. Again, we are not aiming to grow this part of the business, but we are not angry if it's happening. So in 2021, what happened, we estimated that this activity will decrease by 5%, but it increased instead. Going into 2022, I think that the aim is to keep this activity on a flat basis. So this is what we are aiming. By the way, at the beginning, we wanted to estimate it as a decrease, but we saw the number, we saw the trend. So we are keeping it flat.
Operator: And this concludes our question-and-answer session. We'd like to turn the call back to Ofer Druker for closing comments.
Ofer Druker: Thank you. Thank you everyone. I think as I said, we had a very exciting year last year, and we finished it very strongly. And thank you for your support and your interest and for the questions. And I hope to see you soon in our additional calls that we'll have during the year. Thank you very much.
Operator: And thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.